Said Darwazah: Good morning, everybody. My name is Said Darwazah. I’m the Chairman and CEO of Hikma. I have with me Mr. Nabilsi Khalid, our CFO. We also have many of our senior members here today, so they can answer your call – your questions. We have Riad Mishlawi; Brian Hoffmann; Mazen Darwazah and many others that can help us answer your questions. So I’ll begin on Slide 3 of our presentation, which provides a snapshot of our first-half results. The group has delivered stable revenue and profitability in a challenging operating environment. The branded business has faced the impact of continued currency headwinds and greater than usual seasonality in the first-half. However, we expect to achieve a much stronger performance through the remainder of the year. In the U.S., competition across the industry is increasing and pricing pressure is intensifying. Despite this, our Injectable business continued to grow in the first-half and we maintain strong profitability. Growth in our Generics business was constrained by tougher market conditions with new entrants coming in, in some of our marketed products and a highly consolidated customer base. In each of our businesses, we’re working hard to maximize the potential of our products in the market, develop strong pipeline and ensure our operations are as efficient as they can be. Across the group, we have been strengthening our management and I’m confident we’re putting the right teams in place to deliver our growth strategy. Our growth strategy for the group is focused on five priorities, as they’re highlighted on this slide. Our strategy is unchanged. We continue to focus on these priorities to drive future growth across the group. I’ll now give a summary of how we have been executing against our strategy this half and an overview of the market dynamics we’re seeing in our three businesses. This slide highlights the industry challenges our Generic business is facing in the U.S., which have significantly intensified over the past couple of years and even in recent months. Firstly, the customer landscape has changed, with increased consolidation among chains and independent pharmacies. The regulatory landscape is also changing with faster approval times for generic products. Actually, I would have to add that the more commodity products are being getting faster approvals, but we are not seeing faster approvals for the complex ANDA submissions. Due to increased approvals, we’re seeing all the generic products becoming increasingly commoditized, as new competitors enter the market. These factors are leading to best pricing pressures. The chart on the slide shows the profile of U.S. Generic drug pricing and volume between 2013 and 2017. And you can see that over the last year, the industry has seen price erosion above 15% Historically, pricing pressure in the generics industry has been cyclical. And we have seen it for those of you that have been covering this industry for a while, we have seen it before 2008/2009 cyclical, and we don’t believe that this level of price erosion is sustainable. However, there is no crystal ball to predict the length of the current cycle. In this environment, we are strengthening our commercial focus. We are maximizing the efficiency of our operations and we are developing a strong platform to drive growth. This slide sets out some of the ways in which we are doing this. Our strong commercial terms, where teams are working to their maximum value from the products we currently have on the market. At the same time, we have been successfully reducing the cost base and we’ve identified opportunities for further savings. I’m pleased to say that, we’ve already seen a significant shift in the culture at West-Ward Columbus, and we are driving cost savings across all functions. We’ve also undertaken a detailed review of West-Ward Columbus pipeline. This has helped us to both reprioritize the highest opportunity, more differentiated products, while balancing the risk profile of the pipeline to ensure a steady stream of new launches over the next few years. At the same time, we’ve been able to identify products that don’t meet our cost benefit criteria. Discontinuing these products are helping to optimize our R&D spend. BD partnerships are further supplementing the pipeline. Our strong balance sheets will give us the financial flexibility to pursue product acquisitions. Crucial to strengthening our Generics business is putting in place a management team that can deliver the necessary operational movements we’ve identified. Many of you already know Brian Hoffmann, the new Head of our Generic business. Brian has been with Hikma for eight years and has held several senior positions within the U.S. business. Brian has established a strong team to support him. Frank and Jerry have been promoted to the executive team of the Generic business to lead operations and the regulatory affairs respectively. We have recently recruited four individuals to join the team who bring excellent experience from leadership roles and other organizations within the Generics industry. Craig will lead sales and marketing, Mark will head product development, Matthew will lead BD and portfolio strategy, and Mike is the new plant manager for the West-Ward Columbus site. I’d just like to point out here that Craig was the President of Red Oak CVS before, so we’re doing changes bringing people from the buy side to help us with the sell side. I’m confident in the ability of this team to take our Generic business forward. While we are focused on navigating near-term headwinds, we are also looking ahead investing in the future, as you will see on this slide. In 2018, we do expect challenging conditions to continue. However, we will start to see the benefits of our efforts in 2017, the way improved performance in R&D and our commercial operation. We also expect an acceleration in new products, including today certain launches. We are hopeful that in 2019, current challenges will subside. However, as I mentioned before, there is no way to predict the length of their current cycle. I know that Generic Advair remains a key area of interest for investor and for everyone. As most of you are aware, we received a major complete response letter from the FDA in May. Since then, we have had constructive discussions with the FDA, and we have been able to clarify and resolve a number of the questions raised. The discussions with the FDA have confirmed our initial assessment that there are no material issues regarding the substitutability of the proposed device. We are in ongoing discussions with the FDA to address the remaining questions and will provide a more detailed update to the market as soon as we are able to do so. Turning to Slide 10 and our global Injectables business. As you can see our business in the U.S. continued to grow in the first-half, capturing additional market share and we remain the third largest player by volume. We continue to focus on improving the mix of sales to further improve our market share by value and sustained strong profitability. The way to achieve this is through pipeline development and execution and this relies on the strength of our R&D capabilities. Over the last five years, we have invested over $230 million in R&D for this business and we have significantly announced our R&D capabilities. We have integrated R&D capabilities to form a global team led out of Bedford, Ohio. This enables us to prepare global files for new products that can be submitted across all of geographies accelerating approval times and increasing efficiency. Over the last three years, we have lost more than 160 products across our markets and we currently have a global pipeline of 470 products pending approval. As we gain expertise and scale, we are focused on the development of more complex and differentiated products and different delivery systems. We are also significantly increasing our Injectables capacity, adding additional lines in the U.S. and Portugal, as you can see on this slide. Increasingly, our customers want ready-to-use products. We are ensuring we have adequate capacity to meet this growing demand. For example, we have been building our capacity for prefilled syringes and infusion bags. This year, we have built a new prefilled syringe line, which is qualified and awaiting approval. It will be able to produce 400 units per unit, or 100 million units per year. We have also significantly increased our capacity for infusion bags in Portugal. Our new line is fully automated, qualified and operational. In the MENA, we are continuing to focus on new product launches and pipeline developments. I’m pleased to announce that we have extended our longstanding partnership with Takeda this year, adding attractive branded products for our portfolio. These products support our strategic focus on the higher value and fastest-growing therapeutic categories. The combined addressable market for these products across MENA is more than US$145 million. We are also continuing the development of our branded Generics portfolio. Saudi Arabia is a great example of this in the first-half, as you can see on Slide 14. Following the successful launch of three products in the fourth quarter of 2016, we launched another six products in the first-half of 2017, all in strategic therapeutic areas. Three of the products were first-to-market generics, two were second-to-market and one was an in-licensed branded product. Our focus on new product launches in higher-value strategic therapy areas is what will drive sustainable growth for the branded business. Across the group, our strategy remains in tact. Although market conditions are challenging, I’m confident that by executing our strategy we can capture opportunities for long-term growth across our businesses. I will now hand it over to Khalid, who will take you through the financial highlights.
Khalid Nabilsi: Thank you, Said. Good morning, everyone. I’ll start with a quick summary of our performance in the first-half. The group revenue was up 5% in constant currency. This was due to the consolidation of additional two months of West-Ward Columbus this year and continued Injectables growth. Core operating profits were up 3% in constant currency. Core net income in H1 2017 was in line with H1 2016. However, Core basic EPS was $0.454 per share, down from $0.482. The decrease in EPS is due to an increase in the weighted average number of shares in H1 2017, following the issuance of 40 million of new shares to Boehringer Ingelheim in February 2016, as part of the consideration for the West-Ward Columbus acquisition. The Board is recommending an interim dividend of $0.11 per share in line with H1 2016. Injectables. Global Injectables revenue was up 3% in constant currency, and we maintained a strong core operating margin of 39%. First-half growth was largely driven by our U.S. business, which was up 4%. Good demand for our both portfolio including recent product launches, enabled us to more than offset price erosion. A favourable sales mix and operational efficiency enabled us to maintain strong margins. We expect sales to remain resilient in H2. Whilst new market entrants are expected to impact sales of key products, we expect strong growth in certain other products and new launches to more than compensate. MENA sales were down 5% in constant currency in H1. However, we expect a strong acceleration in the shipment of sales, the recent product launches and strong oncology sales to drive much stronger growth in H2. Europe grew steadily in H1 and we expect this to continue through the full-year. We now expect full-year global Injectable revenue to be around US$775 million. This reflects the impact of new market entrants on certain products in the U.S., as well as lower than expected growth in MENA this year. We expect strong operating margin of around 39%. Generics. Generics revenue was US$305 million in H1, up from US$257 million, reflecting the consolidation of an additional two months of revenue from West-Ward Columbus. The growth in H1 was limited by the impact of increased competition on pricing and volumes, rationalization of our product portfolio and a reduction in contract manufacturing revenue. We expect the tougher market conditions to remain in H2, with continued price and volume erosion on our marketed portfolio. However, we expect to more than offset this impact through increased demand for certain products, further portfolio optimization and small number of new product launches. Core gross margin was up from 35% to 40%, reflecting an improvement in the product mix and portfolio optimization. We also achieved good overhead savings in H1, but these were offset by the additional operational cost associated with the development of our generic version of Advair business. Core operating profit increased from US$8 million to US$21 million and core operating margin increased from 3.1% to 6.9%. This reflected the improvement in gross profit. After the amortization of intangibles of US$11 million and exceptional items of US$30 million, the generic reported an operating loss of US$28 million. The exceptional items primarily related to the impairment of product-related investments within the West-Ward Columbus pipeline. This reflects a change in the expected market opportunity for certain products. For the full-year, we now expect generic revenue to be around US$620 million, reflecting the impact of increased competition on prices and volume. Through our focus on portfolio optimization and continued for savings, we expect core operating profit to be around US$30 million for the full year. As for branded, in constant currency, revenue was down 6%. This reflects the timing of timing of Ramadan and Eid in June, as well as more challenging operating conditions in certain markets, primarily due to increased importation restriction and economic uncertainty. These impacts more than offset a stronger performance in other markets. We expect the seasonality of sales and new product launches to drive good branded revenue growth in H2. In constant currency, we continue to expect branded revenue growth in the mid-single digits in 2017. Core operating profit was down 16% in constant currency in H1 and margin was 18.5%, down from 20.8%. This reflected the reduction in gross profit, partially offset by good control of operating costs. For the full-year, we expect core operating profit and margin to be broadly in line with 2016. Group operating cash flow was $225 million in H1 2017. The significant improvements reflects the investments we made in the working capital of the West-Ward Columbus business in H1 2016. Our balance sheet remains solid. As you can see, net debt reduced from US$697 million to US$633 million. As you can see as well, we have very healthy leverage ratios with net debt to EBITDA of 1.3 times. Core net finance expense was $28 million in H1 2017, and we continue to expect core net finance expense to be around US$60 million for the full-year. CapEx. Capital expenditure was $47 million in H1 2017. Over half of this investment was in the U.S., maintaining and expanding our Injectable and non-injectable manufacturing facilities. We also made investments to maintain and enhance our facilities across MENA. In Europe, we are expanding our Injectables manufacturing capacity for lyophilised and oncology products. We expect group CapEx to be around $125 million for the full-year in 2017. Our spend on R&D and product-related investments in H1 2017 was around $65 million, or 7% of group revenue. We continue to focus on the development of strong pipelines to drive future growth across our businesses. As Said mentioned, we have appointed a new Head of R&D for the Generic business and his team are undertaking a comprehensive review of our pipeline. We have identified opportunities for cost savings and efficiencies and we now expect R&D investment to be around $140 million in 2017. I’ll finish with a summary of that outlook for 2017. We expect group revenue to be around $2 billion in constant currency. We expect Injectables revenue to be around $775 million, with core operating margin of around 39%. We expect generic revenue to be around $620 million and core operating profit of around $30 million. We expect the branded revenue growth in line – in the mid-single digits in constant currency. We expect reported revenue and core operating profit to be broadly in line with 2016. We are now happy to answer any questions you may have.
Q - James Vane-Tempest: Yes. Hi, thank you. This is James Vane-Tempest from Jefferies. If I can start with some financial questions, the 19% growth in the U.S. Generics business in the first-half of the year. What was that like-for-like without the two months benefit? And…
Khalid Nabilsi: Sorry, can you repeat the question? Can you repeat?
Said Darwazah: Can you raise the sound of this thing?
James Vane-Tempest: Thank you. Is that better? Can you hear me?
Said Darwazah: Same.
James Vane-Tempest: I’ll speak louder. The 19% U.S. Generics business growth, what was that like-for-like, excluding the two months benefits? And if you can give us the price and volume split for your business? And the second question on U.S. generics is, last year, I think from memory, you’re annualizing $35 million in synergies for the Roxane deal. Just wondering what that level is now and whether the $40 million to $45 million target could be higher?
Khalid Nabilsi: Okay. If we add the two months of West-Ward Columbus sales for last year, we would see that there will be some decline in growth in the first-half, so like-for-like. And this is as a result of the price erosion that we talked about, which impacted our top line. In terms of the cost synergies that we talked about in the past, we already exceeded the targets, but at the same time, we have some additional cost, as we mentioned, related to Advair operational expenses. There are some additional costs that we have to incur to certain departments. But all in all, we manage to reduce cost across the different functions, not because of affecting the business in anyway, it’s just being more efficient. Some of these cost savings, as I mentioned earlier, it came through the R&D and overheads, where we had some reduction in costs and overheads and across the different categories.
James Vane-Tempest: Thank you. If I can just follow-up to that, I understand there’s going to be some incremental Advair costs this year. But if we can just specifically related to the acquisition of Roxane, the $40 million to $45 million, I think you said committed to generating synergies. Are you willing to give us a higher number if that is the case today, or you still sticking to the $40 million to $45 million synergy target from…?
Khalid Nabilsi: We are targeting higher than the $40 million, $45 million. And we’ve achieved that and we’ll continue to as well consider additional efficiencies and cost savings.
James Vane-Tempest: Thank you.
Khalid Nabilsi: Brian, do you want to answer – add something?
Brian Hoffmann: No, I think that’s well-said, Khalid. So we caution you – is there a microphone? So in the face of the price erosion that’s impacting the entire industry, it is important for us to focus on cost controls. Very pleased to say, as Khalid referred to that, we’re running ahead of our targets in terms of cost savings and we truly are looking at those savings across all areas of the business. So all functional heads have been contributing to that initiatives. So, thank you.
James Vane-Tempest: And my last question just on Injectables is, it appears looking at industry data that Amneal and Somerset have already launched glycopyrrolate in June and with American region also taking share, I understand your sales guidance in Injectables. But can you just remind us what can replace the high-margin profit stream in second-half, and how many launches do you expect in Injectables in 2017?
Riad Mishlawi: Yes, I don’t know if I can tell you the number exactly, but we expect a lot of launches in the second-half and in the next year. We have transferred over 50 products from the Bedford acquisitions and we have new R&D also coming in. So, yes, we expect a lot of that coming in and we expect that this gap that this – new competition will create will be filled with these launches.
Khalid Nabilsi: We have a couple of good products that will support sales in line with our guidance that we’ve just said. At the same time, we’re expecting competition on the key products, as you all know. This is a continuous process. And as Riad mentioned, we have developed and transferred different products, not I would say, significant sales, but they will add up. At the same time, this is why we are confident in achieving 39% operating margin.
Said Darwazah: I think it’s worth noting though, just for you to know. When you launch a product, it takes a while to pick up. So this is why it takes so many to fill some of the gaps. But as time comes, those products will find their place. Some of them were out for sometime. Bedford – when we did the Bedford acquisition, I had struggled to have some of those products in the market. So they were out of the market. And it took sometime for us when you bring it back into – put them back into being active there. So it takes sometime, that’s why we have many of them. The impact is not going to be as significant initially, but it’s definitely will be enough to fill in the gaps.
James Vane-Tempest: Thank you.
Patrick Chen: Hi, thanks. Pat Chen from Morgan Stanley. I have three questions, if I can. First, on the generics business. You talked about potential alleviation of the generic pricing pressure from 2019 onwards. Can you give some color on what you might need to see between now and then for that pricing pressure to come around, given the consolidation of the GPOs, et cetera? Second, on Injectables. Can you give a bit more color as well to previous questions as to on the margins? Do you expect more price or volume impact from this competition on your big products coming into market on glyco, Thiotepa and neostigmine? And back on the generics as well, can you give a bit more color on the margin improvement we may be seeing in H2 and how that might look going forward as well? Thanks.
Mazen Darwazah: I’ll talk a little about the Injectables and maybe Riad can help and then you and Brian pick it up. We’ve always said our Injectable strategy is to try to maintain the high profitability that that we have and that we have so far shied away from any market share or price or. But we’ve always said that from a capacity point of view, we are more than capable and they do that. So that’s the sense for now. We’re still concentrating on having as high a margin as possible. But we have indicated that we have a lot of increased capacity, but also increased capacity in new forms like bags, prefilled syringes, lyophilisation, antiinfective, all these things are sort of in high demand right now. So these things would be very helpful to help us maybe fill up for next year. Do you have anything else to…
Riad Mishlawi: No, the only thing, I would say is, on the volume side, I don’t think it matters for us, because we do have a capacity to respond to any volume. As you can see, we have a $400 million-plus capacity in our Injectables. We had done a lot of expansion. With the Bedford acquisition, we took a lot of the equipment, and we utilized them in different plants, so we have huge capacity right now. So the volume it doesn’t really matter, it’s just how competition will react. So we do have for glycol, for example, we do have private labels with one of the bigger GPO. So we do have the volume. It just depends now how we are going to see the competition and how the dynamics are going to happen. But volume, we’re just looking at the margins.
Said Darwazah: [In terms of generic pricing.] [ph]
Khalid Nabilsi: Okay. Yes, in terms of generic pricing, Brian can help, and then I’ll go into the margin. Brian?
Brian Hoffmann: Sure. Happy to address the question on price erosion. So currently, now the industry is experiencing double-digit price erosion, so significantly higher than we’ve seen in the past. The – I don’t think that’s working, is that better?
Said Darwazah: Yes.
Brian Hoffmann: Historically, though when you do look at the generics market, you do see some cyclicality. And so our expectation is that, things will improve. It’s very difficult to predict exactly when that will occur. But I think that there’s some positive indicators. There are some growth in terms of branded products coming off patent. Manufacturers will look at their portfolios and look at their profitability on certain products could potentially exit some markets, where they’re not profitable and focus on others. There could also be further manufacturer consolidation. And in addition to that, there are a number of specialty categories, such as respiratory, such as oncology, which are expected to grow over the near-term, both of those areas that are very important to our pipeline, and we’re very well-positioned to capitalize on. So it’s difficult to predict exactly when. But I think, most experts point to the markets improving, not only due to the cyclicality, but due to the formation of the market.
Khalid Nabilsi: And actually we experienced a similar situation in 2008, I remember that very well, because at that time 2007, we reported when our Generic segments were having like sales of $150 million. We had a profit of around 35, 36 every year, suddenly, H1 2008, we had a loss of $6 million. So a similar situation that we went through and it took two years and then the business started to grow from 2010/2011 and onwards. so it’s, as Brian alluded, it’s a cycle that the generic industry goes through. And in terms of margin if you look into our H1 revenue and profit – core operating profit, if you take that just the run rate with some additional price erosion that we would assume and enhancement on our cost. And this is why we are guiding towards around $30 million off core operating profit. So I’m not sure if I answer your question, but we’re seeing additional price erosion to come through in the second-half. At the same time, we will have some more improvement and some new product launches as well a different product mix that will come through, which will help reach into the core operating margin.
Patrick Chen: I have one follow-up question, if possible. On the Ingestibles, you mentioned before that you’re launching new products, but takes time for that to gain a bit of momentum and materiality for your top line. So in H2, how important for you are these new launches to achieve your guidance?
Khalid Nabilsi: When we put our guidance, we assume that there will be competition on other products. At the same time, these – some of these products will be launched. So we are confident of our guidance of $775 million around $775 million.
Said Darwazah: But Riad was referring to sometimes when a product was out of the market for very long time, physicians tend to switch to other therapeutic products. So when you do bring the product back, it takes time for the physicians to realize that product back and then switch their prescription abilities back, that’s why it takes time to ramp up. But they – many times they do come back and it’s a building process.
James Quigley: Thanks. James Quigley of JPMorgan. On generic Advair, do you have discussions with the FDA? Have you met with the FDA yet? And if not, do you have a meeting date set? If you have met with the FDA, how long do you anticipate before you get a response to your CRL? And just picking up on the margin point in Generics, in the first-half, it’s $20 million. Do you expect $10 million in the second-half with similar revenue half-on-half and suggest a decline in the margins maybe? I mean, is there any reason for that? And secondly, on the Injectables guidance, in Injectables guidance, it doesn’t work. On Injectables guidance, I understand that you are confident in the guidance. But $50 million half 1 versus half 2 is difficult for us to reconcile where that comes from. Is that coming from underlying profit growth from new launches or where exactly?
Said Darwazah: I’ll answer that – maybe Brian will answer the generic.
James Quigley: Okay.
Brian Hoffmann: All right. So I think in Said’s upfront statements he gave an overview of the status of our Generic Advair application. I’ll try to get a – give a little bit more color to answer your question. So we did receive our CRL on our GDUFA date in May, we’ve since been working with the agency on responding to their questions. We’ve made a – we’ve had a number of interactions with the FDA, since receiving our CRL, and we’re making a lot of progress. We’ve resolved a number of the questions. There still are some that are outstanding and that we continue to work with the agency on. Unfortunately, we’re not able to give a clear timeline in terms of next steps, et cetera, but did want to give the update that things are moving along, where we’re working very closely with the agency. And as soon as we’re in a position to update the market, we have a clear timeline in terms of our status, we’ll look to update.
Khalid Nabilsi: Yes, thank you. In terms of the generic – the question on the generic margin, as I said, it’s $10, why you’re projecting $10? Because of – it’s around, or what we said is $30 million because of the price erosion. So even if you have like – you apply the same run rate at the same time, we will have much more than what we expected initially in terms of price erosion, this will bring the number down to around $30 million. And in terms of the Injectable, it’s – most of it’s – it’s not just the U.S. business that we are talking about for the $775 million, there’s as well MENA, we’re expecting much stronger sales to come in the second-half. We have, as we highlighted, we had low sales relative to the previous years, but the second-half we are confident that we will offset for that. At the same time, for the European Injectable, we continue to expect the business to grow. And for the U.S., we’re expecting some competition on the key products, but with the launches that we have for, as Riad mentioned, it will offset some of these declines. Do you have any questions on the phone?
Operator: [Operator Instructions]
Said Darwazah: If they’re not here, they’re on the beach probably around.
Operator: So we do have a question coming through from the line of Nick Keher from RBC. Please go ahead with your question, Nick.
Nicholas Keher: Thank you very much. Just one question on generic Advair. You’ve been quite specific that it’s nothing to do with the device that’s been the issue. Can you give us a bit more clarity on what the issues were with the CRL and the issues you still got to address, please?
Brian Hoffmann: Yes, Brian Hoffmann, President of U.S. Generics. We did mention in previous statements about that we didn’t receive questions on our device, given how much was out in the public about that specific question. Regarding our CRL, we’ve received multiple questions, really across all areas of the application, except the device. We’re working very closely with the agency in resolving all of those questions.
Nicholas Keher: Thank you. And just for clarity as well and just a follow-up, would we take it that these multiple questions added up to being a major, or is there any major specifically in a certain area?
Brian Hoffmann: So the way the agency classifies it is they look at the application in totality. And in totality, they have come, as we communicated at our May update, that the CRL is classified as a major, and we’re working with the agency on those questions to hopefully improve that status.
Nicholas Keher: Thank you very much.
Brian Hoffmann: Thank you.
James Vane-Tempest: Hi, thanks. It’s James from Jefferies. Just two follow-up questions, if I can. Just I guess, related to the last question on generic Advair, are you able to tell us which of the issues that were raised have been resolved, because in the release you did talk about that there were some issues which have been resolved? And then secondly, just coming back to your U.S. generics margin, if my math is right, looking at $10 million of profit in the second-half of your revenue guidance of around $315 million, that’s a 3% margin expected in the second-half versus just under 7% in the first-half. So is that the right sort of run rate or entry point we should expect for 2018, as we start to look at the underlying business? Thank you.
Khalid Nabilsi: I’ll start with that and then I’ll hand over to Brian. First of all, we are not giving any guidance for 2018. But you have to assume that there will be an improvement as well in the margin. This is – we’re going to have some product launches next year. We’ll have portfolio optimization, we’ll continue to do that. There will be some additional focus on manufacturing efficiencies. So we are targeting to improve the performance compared to 2017. But we are not giving guidance so far. The second-half, as mentioned, we experienced higher than expected price erosion in line with the industry. So it’s not just Hikma, it’s across the whole industry.
Brian Hoffmann: And related to Generic Advair, I understand and appreciate the interest. The – unfortunately, we can’t comment on the specific questions that we’ve received. But the further explanation that I will give is, when you’re working on a CRL with the agency addressing questions, it is an an iterative with them. And that’s why I feel it’s really not appropriate for us to talk about which questions we have received or haven’t given the nature of the process.
Said Darwazah: Thank you very much, everybody. We appreciate you being here.
Khalid Nabilsi: Okay.
Said Darwazah: Thank you.
Khalid Nabilsi: Thank you.